Operator: Good morning, and welcome to the World Acceptance Corporation's Third Quarter 2024 Earnings Conference Call. This call is being recorded. At this time, all participants have been placed in a listen-only mode. Before we begin, the Corporation has requested that I make the following announcement. The comments made during this conference call may contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 that represent Corporation's expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those historically fact, as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will, and should or any variation of these foregoing and similar expressions are forward-looking statements. Additional information regarding forward-looking statements and any factors that could cause actual results or performance to differ from these expectations expressed or implied in such forward-looking statements are included in the paragraph discussing forward-looking statements in today's earnings press release and in the risk factors section of the Corporation's most recent Form 10-K for the fiscal year ending March 31st of 2023 and subsequent reports filed with the -- with or furnished to the SEC from time to time. The Corporation does not undertake any obligation to update any forward-looking statement it makes. And at this time, it is my pleasure to turn the floor over to your host, Mr. Chad Prashad, President and Chief Executive Officer. Please go ahead, sir.
Chad Prashad: Good morning, and thank you for joining our Fiscal 2024 Third Quarter Earnings Call. Before we open up to questions, there are few areas I'd like to highlight. Earlier this year, we signaled a tightening of credit and slower portfolio growth pace for this year. Our new customer loan volume increased about 22% sequentially this quarter from the prior quarter and about 56% compared to last year's third quarter. But the percent of new customers relative to our customer base was around 30% lower than the prior normal third quarters, especially pre-COVID. Our credit quality performance continues to improve and remain near historical norms or even higher. While our approval and booking rates have improved significantly from our low in August of this year, through the end of this calendar year, our first pay defaults remain at or below historical norms. New loan application volume increased around 30% this quarter when compared to last third quarter. The earlier stat that I mentioned on the resulting loan comparison was a 56% increase of new customer loan volume for the same quarter. New applications increased only 1% sequentially over the prior quarter, second quarter compared to the third quarter, as we shifted marketing and underwriting strategies that resulted in higher approval and booking rates, which earlier I shared is a 22% increase in booked new customer lines sequentially. And those new customers continue to perform well with first pay default rates that are significantly better than fiscal year 2022 and in line with last year and our pre-COVID comparisons. Further, our overall new customer application volume has increased back to within 1% of our pre-COVID application volumes after increasing over 30% in the third quarter when compared to last year's third quarter. We believe we have been able to successfully increase our approval rates without sacrificing credit quality or yields and are focused on continually improving in both our underwriting and marketing strategies. Return of former customers increased around 6% sequentially in the third quarter compared to the second quarter and 17% compared to last year's third quarter. And the percent of former customers relative to the customer base continues to be higher than the prior normal comparable periods, especially pre-COVID. For new customers and the whole portfolio, our yields continue to improve. This is a result of improved gross yields and reduced delinquency. While we are pleased with our current progress in delinquency improvement and the trending of the underlying portfolio, we believe there is still room for improvement in the current and upcoming quarters. With the expectations of economic stability increasing and the decreasing likelihood of major unemployment impacts, management continues to accrue for the long-term incentive plan with vesting tiers of $16.35 and $20.45 earnings per share due to the much-improved credit quality, yields, and operating conditions. Finally, I'd like to thank all of our wonderful team members who have helped so many customers from our communities during the calendar year of 2023, helping to establish and rebuild credit as well as meeting immediate financial needs. We have an absolutely amazing team and I'm very grateful for their commitment to their customers and to each other. At this time, Johnny Calmes, our Chief Financial and Strategy Officer and I would like to open up to any questions you have. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from John Rowan with Janney. Please go ahead.
John Rowan: Good morning, guys.
Chad Prashad: Good morning.
John Rowan: So I just want to understand what change in assumptions drove the $10 million provision release. Obviously, you did -- you talked about lower loss assumptions going forward, but what is the loss assumption that's included in that $10 million reserve release? And what economic factor change drove that assumption?
Johnny Calmes: Yeah. So you kind of broke up there, right? So the biggest piece that's driving the reduction in that for the quarter is, December is, like seasonally is our lowest risk quarter of the year, right? So just due to the fact that obviously our customer base will sort of have windfall cash receipts in the fourth quarter. So historically that drives down both delinquency and charge-offs in the fourth quarter. And that's something we seasonally see every year. So there is a seasonal adjustment that happens in the fiscal third quarter. The opposite adjustment happened in the fiscal first quarter, right? So there was a substantial increase in the expected loss rates for seasonality that happened in Q1. So this is just sort of the release of that because, again, our customer base and portfolio is its least risky that December.
John Rowan: But I mean, I guess I just don't understand, maybe I'm just wrong, but I mean, wouldn't lifetime loss accounting kind of negate seasonal trends in the reserve level?
Johnny Calmes: No, there's still a seasonality factor that goes into the CECL, right? So at a point in time, right? So you're trying to assess the expected losses at a point in time still, right? So those point in time expected losses will change based on seasonality.
John Rowan: Okay. And you said that you're still accruing for $16.35 and $20.45, correct, the hurdles? What years -- what fiscal year are those two in?
Chad Prashad: That's by the end of fiscal year 2025.
John Rowan: But -- so they're both at fiscal 2024. So you're accruing that you're going to basically get to $20.45 by fiscal 2025, is that correct? Because obviously, if you're accruing for $16.45, you're certainly accruing -- for $20.45, you're certainly accruing for $16.35?
Johnny Calmes: Correct.
Chad Prashad: That's right.
John Rowan: Okay. All right. Thank you.
Operator: [Operator Instructions] Our next question will come from Vincent Caintic with Stephens. Please go ahead.
Vincent Caintic: Good morning. Thanks for taking my questions. First, actually a follow-up just on that seasonality. Any different expectations with tax refund season this year and how that will shape up versus last year? Hearing different views about whether or not -- whether to expect more or less tax refunds for the consumer this year versus last year. Thank you.
Chad Prashad: Yeah. Good morning, Vincent. For us right now, while we've started filing taxes, it's still too early for us to tell what the impact is going to be for our average customer base, if it's going to be a higher or lower return from that perspective. From a runoff perspective, so typically in the fourth quarter, as our customers receive tax refunds, they tend to pay down their loans. It kind of remains to be seen what that may look like this year. Our portfolio is substantially different this year entering the fourth quarter than it has been in prior fourth quarters. We have substantially more tenured customers with us and less new customers with us. So that may have an impact to the runoff rate. But in terms of how the tax season is itself for our customer base, it's still too early to tell.
Vincent Caintic: Okay. Understood. Thank you. And then -- so very helpful prepared remarks, details on the evolving and the tightening credit and resulting improving metrics. Just wondering if this quarter's metrics are sort of a good run rate to think about going forward. Or maybe said another way, like once the entire portfolio has the metrics of your current underwriting, like, what does that look like in terms of the yields that you're charging, the net charge-offs that you're targeting and so forth? Just trying to basically get a sense of maybe what fiscal 2025 loan metrics look like.
Chad Prashad: Vincent, so on our end, it sounds like you cut out in the middle of your question there, but from what I heard, you're asking about what the credit quality and kind of performance of the new customers look like and what the impact of the overall yields would be?
Vincent Caintic: Yes, please. Yes, thank you.
Chad Prashad: Great question. So for the last 1.5 year or so, we've been tightening credit a fair amount pretty aggressively to begin with, and our loan volumes certainly suffered because of that. But over that time period, a couple of things have happened. One, as those new customers have kind of aged into a portfolio, it's had an impact to the overall portfolio. Two, some of those underwriting strategies for new customers have also been applied to the rest of the portfolio book as well. So that has a greater impact on the overall portfolio. And then three, we've increased confidence in how we've been underwriting. We've increased our approval rates pretty substantially over the last two or three quarters especially, and we haven't seen any reduction in credit quality there. So all that to say, going forward, I wouldn't treat this as a high point in terms of credit quality. I would treat this as sort of the norm going forward. And then in terms of the overall portfolio, we mentioned this about two years ago, that it would take a lot of time for these changes to impact overall portfolio. And you're beginning to really see that in terms of the portfolio gross yields this quarter increasing pretty substantially year-over-year, and we'll continue to see that for some time as well.
Vincent Caintic: Okay. Thank you. And then last one for me. We've been hearing about maybe macro improvement, maybe soft landing, and certainly, you talk about increasing approval rates and you're not seeing -- you’re getting more comfortable with your underwriting, not seeing reduction in credit quality. Is there a point -- is there a macro trend or maybe it just takes a little bit of time before you feel really comfortable in leaning in, and we can see the portfolio significantly grow? Just wondering what you're looking at before we see significant portfolio growth. Thank you.
Chad Prashad: Yeah, I would say we're very conservative in how we look at the macroeconomic picture. We began tightening in April 2021. Personally, I expected a rather tight and quick change to the economy, which obviously didn't come for another year, year and half, and it was much slower than I expected. So in terms of loosening up, we have loosened up where we have seen prudent over the last couple of quarters. Again, our approval rates are up pretty substantially. But in terms of loosening up for growth, we're not in a position at all where we are considering loosening up and reducing credit quality, or in any way sacrificing credit quality for growth. The opposite is actually pretty true, where we have spent a lot of time making sure, from a marketing perspective, an underwriting perspective, we can drive applications and approve applications that are within the acceptable credit box. So going forward, that will continue to be one of our main focuses is to grow the business, kind of move out of this, wait and see, and be very conservative growth approach into a more aggressive approach from a growth perspective, but still very prudent and conservative on the credit side.
Vincent Caintic: Okay. Very helpful. Thanks very much.
Chad Prashad: Thanks, Vincent.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Prashad for any closing remarks. Please go ahead.
Chad Prashad: Thank you all for taking the time to join us today. And this concludes the third quarter earnings call for World Acceptance Corporation.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.